Operator: Welcome To the TreeHouse Foods' Second Quarter Conference Call. All participants will be in listen-only mode. After todays presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. At this time, I would like to turn the call over to TreeHouse Foods for the reading of the Safe Harbor statements.
P.I. Aquino: Good morning, and thanks for joining us today. This morning, we issued our earnings release, which is available, along with the slide deck, in the Investor Relations section of our website at treehousefoods.com. Before we begin, we would like to advise you that all forward-looking statements made on today's call are intended to fall within the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are based on current expectations and projections and involve risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. Information concerning those risks is contained in the company's filings with the SEC. In addition, we will be discussing operating and financial results on an adjusted basis. A reconciliation of those non-GAAP measures referenced during today's call to their most direct comparable GAAP measures can be found in today's press release on our website. I'd now like to turn the call over to our CEO and President, Mr. Steve Oakland.
Steve Oakland: Thanks, P.I., and good morning, everyone. I'm joined by Pat O'Donnell, our Interim CFO and Chief Accounting Officer. As we announced previously, Pat stepped into that role upon Bill Kelly's departure. We appreciate Bill's contributions, and we wish him well. We are fortunate to have a strong, deep bench of talent here at TreeHouse, and Pat has quickly transitioned into the role and responsibilities of the interim CFO. He has led both the controllership and financial planning and analysis functions since joining TreeHouse in 2017. We are pleased with our second quarter results as our strategy to drive operational and commercial excellence, optimize our portfolio and support our people and talent continues to pay dividends. Our second quarter results are yet another building block that we have in place to continue to improve service and profitability throughout the year and to position ourselves well for our fourth quarter seasonal peak. Our top line performance reflects the impact of our pricing to recover inflation and our ability to capture incremental volume, specifically in our Snacking & Beverage businesses. More broadly, private label consumer demand continues to accelerate, posting 22 straight weeks of share gains in the categories that we operate in. As the underlying fundamentals of private label have strengthened, increased demand demonstrates that the value proposition is resonating with consumers. Input cost inflation continued in the second quarter, particularly in inputs like eggs, wheat and oats. In response, we have communicated and are implementing additional pricing that will be reflected late in the third quarter. While the labor and supply chain environment continues to present challenges, our operating teams are demonstrating great agility as we remain focused on servicing our customers. We continue to invest in our workforce with retention and engagement being a high priority. We are also taking steps to make our manufacturing work environments more appealing, everything from facility upgrades to designing more effective and attractive work schedules so that TreeHouse can be viewed as the employer of choice in each local market. Taking all of these factors into account, we are raising our top line guidance for the full year and reiterating our outlook for adjusted EBITDA. As I noted a few moments ago, private label is gaining momentum. Inflation is driving shelf prices higher, which you see on the left-hand side of Slide 4, making the private label value proposition even more compelling to consumers. Price gaps, noted on the right, continue to be in the low 30s. While price gaps will vary, at these levels, the private label value proposition is very attractive. The combination of high shelf prices and high-priced gas translates into a dollar savings for a basket of private label goods that has never been greater. This is translating into a shift in consumer purchasing behavior toward private label, which you can see on Slide 5. You can see that the pandemic-related trends in the past 2 years actually began to reverse early this year, and that private label share gains have been accelerating since March. For those of you looking for more of these macro data points, you'll note that we've included a few additional slides in the appendix. Overall, I'm encouraged with our progress and I believe that we are very much on track to continue to improve service and profitability throughout the year as we begin to enter our seasonal peak. We are effectively managing inflation with pricing, collaborating with our customers and executing on our efforts to drive cost savings across the network. I want to thank our TreeHouse employees for their effort and commitment to making these things happen each and every day. Before I turn it over to Pat, let me say that we continue to work very diligently to reshape the TreeHouse portfolio through a divestment of a significant portion of our Meal Prep business so that we can build leadership and depth around a focused group of categories in our higher-growth Snacking & Beverage businesses. We are encouraged with the progress we have made on this process thus far but will not be providing further comments on that topic unless and until we have definitive information to share. With that, let me turn it over to Pat to take you through the details of the quarter.
Pat O’Donnell: Thanks, Steve. I'm happy to be here with you today. Having been intimately involved in our strategic evolution and also having led several of our transformation projects over the last 5 years, it's an honor to be taking this interim role at such a pivotal time for TreeHouse. I'd like to start by echoing Steve's comments in recognizing our teams and expressing our gratitude around everyone's hard work and dedication towards servicing our customers. Those efforts are particularly evident in our top line performance this quarter. With that, I'll cover our second quarter results on Slides 6 and 7. We posted strong revenue growth, up 19.4% to $1.2 billion. Pricing drove 17.7% of the growth, while volume rose 2.1%, offset by 48 basis points of FX. As Steve mentioned, our teams continue to do an excellent job working with our customers, providing transparency around commodities and implementing pricing to recover inflation. Our ability to capture growing incremental volume across several categories within Snacking & Beverages, in particular, has been encouraging, and I'll review the division results in a minute. Second quarter adjusted EBITDA was $67 million or 5.6% margin. Although margin declined 360 basis points versus the prior year, we were very pleased with the 60 basis point sequential improvement, which was in line with our expectations. Adjusted diluted EPS was a loss of $0.04 compared to $0.26 of income last year. On a divisional basis, on Slide 7, Meal Prep sales grew 18.3%, driven by pricing of 20.5%, reflecting recovery of input cost inflation, primarily in oils, durum and oats. This was partially offset by a 1.7% decline in volume/mix and 50 basis points of FX. Although we continue to be constrained across several Meal Prep categories, we're encouraged by the progress we're making sequentially and we expect to continue to build on that through the balance of the year. Snacking & Beverages grew 21.4% in the quarter, of which 12.7% was pricing and 9% volume and mix. Strong category trends, coupled with improving service, enabled Snacking & Beverages to capture incremental demand during the quarter. On Slide 8, you can see that we delivered growth across all channels in the quarter, with healthy gains in both measured and unmeasured channels. Slide 9 takes you through our profit drivers. Volume and mix, including absorption, contributed $10 million in the quarter as we captured some incremental private label demand, particularly across Snacking & Beverage. Total pricing net of commodities was down $1 million versus last year, which captures the continued escalation in commodities year-over-year netted with our pricing to recover inflation. As you think about the back half of the year, we will have further pricing actions to be reflected in our P&L. So sequentially, assuming that inflation aligns with our expectations, its impact will continue to improve as pricing catches up. Operations and the supply chain declined $33 million versus last year. Here, we continue to be burdened by our efforts to mitigate labor and supply chain disruption, especially as it relates to material availability. As Steve noted earlier, we are also investing heavily in training, retention and engagement to address the labor challenges and enable us to improve operational efficiency. Finally, other, which contributed negative $2 million year-over-year, primarily reflects foreign currency impacts. On the balance sheet, our revolver remains largely undrawn and we have liquidity of close to $1 billion. We finished the second quarter with debt covenant leverage of 4.5 times, below the amended higher covenant ratio of 5.5 times. Turning to guidance on Slide 10. We are raising our full year revenue guidance to mid- to high-teens growth, driven primarily by pricing that will continue to build into the back half of the year as we approach our peak season. Our guidance also assumes that volume growth for the full year will be in the low single digits. We are encouraged by the robust private label demand and we will continue to work diligently to fill incremental orders as we actively manage constraints and ongoing challenges in labor and materials availability. It will take some time before we are able to restore service levels to target. The macro environment remains challenging and dynamic and, as a result, we are maintaining our adjusted EBITDA guidance of between $385 million to $415 million. We are making good progress, but our work to mitigate disruption and improve profitability is ongoing. With regard to the third quarter, we anticipate adjusted EBITDA margin improvement of 50 basis points to 100 basis points from the 5.6% level we reported in Q2. The more recent escalation in inflation and its related pricing lag will put some pressure on the coming quarter's profitability. But as I mentioned earlier, we are taking further pricing actions. That pricing will be reflected late in the third quarter, so as we get into the fourth quarter and our seasonal peak, we anticipate pricing to more fully offset inflation. Importantly, over the full cycle, we expect to be able to recover the entirety of the inflationary headwinds. With that, let me now turn it back to Steve.
Steve Oakland: Thanks, Pat. Before we open up to your questions, I'd like to close with a few comments on how our value proposition is truly resonating with consumers. On Slide 11, we've included survey results from June, showing that consumers are making changes to reduce their spending, which include embracing store brands and the value that they represent. And that once they begin to try these brands, the vast majority of survey respondents are highly satisfied with the quality that they offer and, importantly, they intend to keep purchasing store brands. The likelihood of repeat purchase at 91% and the satisfaction rate of 72% tell you that those opportunities are being realized. These survey results give me confidence that we've turned the corner in terms of consumer behavior. History would tell you that during periods of economic downturn, private label gains trial, new consumers and, as a result, share increases. Historically, these periods have been step changes for private label. Today, private label is positioned significantly better than in past periods of economic downturn. First, the quality and assortment of private label has improved dramatically. The number of options now include a spectrum from natural and organic to national brand equivalent to value offerings. And second, the retail landscape has also changed dramatically. Growth in terms of number of outlets has been driven in a large part by private label-focused discount retailers. Today, there are also retailers whose private label programs not only drive traffic but play a key role in their store image. And finally, retailers are more committed than ever to their private label strategies and are making meaningful investments to support their store brands. When you combine the focus our commercial teams have placed on the customer, the operational improvements we've made over the last several years and the investment and effort we are putting towards labor and supply chain disruption, we are in an excellent position to continue our top line momentum in the second half of the year. We also have the building blocks in place to improve profitability as we head into our fourth quarter seasonal peak. Our people, our talent and our values are all critical to these results. I'm excited every day by the contributions I see across our organization, and I'm excited about the opportunity we have in front of us to drive long-term sustainable growth. With that, let's open the call up to your questions.
Operator: [Operator Instructions] And your first question is from the line of Andrew Lazar with Barclays. Please go ahead.
Andrew Lazar: Steve, in the press release, there's a bunch of discussion about the pickup in sort of increasing private label demand and your ability to sort of get after some of those opportunities, particularly in Snacks & Beverages. And I was wondering if this was the case in Meal Prep as well because I guess I didn't see that mentioned in sort of the Meal Prep discussion. I don't know whether TreeHouse was just unable to fulfill the extra demand because of the supply chain challenges there or if there really is some differences between the two segments in terms of what you're seeing on consumer behavior.
Steve Oakland: Yes. Thank you, Andrew. I would say it's two things. I would say that the supply chain disruption hit Meal Prep a bit harder, okay? And so the demand is across the private label segment, and I think we commented in the scripted remarks about the growth in private label across the categories we participate in. So it is happening across the categories. But there's probably a little more. As the economy has opened up, much of the Snacking & Beverage mix is those on-the-go items, right? And so with the economy in a more normal and the consumer in a more normal away-from-home standpoint, those businesses are doing well. So the demand is incredibly strong in Snacking & Beverages, it's strong across all of them, but we are a bit more disrupted in Meal Prep.
Andrew Lazar: And then I guess turning just back of the envelope, it seems like fourth quarter EBITDA margins would need to be sort of in a more like the 13% range or so. And that's not out of line, I guess, with what the company posted even in the fourth quarter of '19. It's obviously a major step-up from the mid-6s that you expect in 3Q. So I guess -- one, I guess, what's holding back more of the margin improvement in 3Q? And I appreciate there's incremental pricing coming through, but maybe you can take us through like a little bit more of a bridge and kind of how you get there in the fourth quarter and sort of what your visibility is, more importantly, to those key bridge items.
Pat O’Donnell: Yes. Thanks, Andrew. This is Pat. So I think you touched on some of that. We originally had expected a level of inflation and we saw that escalate here in the second quarter. We have a little bit of higher-priced inventory on hand that will flow through into Q3. And so we'll continue to see that profitability increase as we drive through that pricing in the quarter. The other is our seasonal peak, as you normally see, we typically have an increase in profit in that process. And then we are starting to see gradual improvement in our supply chain, as you saw in this quarter, and we expect to continue to see some of that as we think about labor and comp material constraints fizzling.
Operator: Your next question is from the line of Bill Chappell with Truist Securities. Please go ahead.
Bill Chappell: Going back to the supply chain issues, can you just give us a little more color of what and where the bottlenecks are and how -- what we should be looking for as you start to get back to kind of normalcy in the back half?
Steve Oakland: Sure. Sure. I mean, I'll break it into two buckets, right? We have labor and then you have packaging and ingredients, right? Labor, we think, is the most controllable inside our box, right? And we've done a lot on what we call labor activation. I think we talked in the prepared remarks about that has focus -- has shifted its focus to retention. So we're starting to see -- when we run employment events, we're starting to see more applicants, right? So we're seeing more participation. It's not a surprise given the inflation, given what we all hear about the economy, right? So getting those right people, keeping those right people, training and turning them is really expensive and very disruptive. So on the labor side, I feel good about it, and we're making slow steady progress. And as Pat said, why do we feel good about the fourth quarter? We are building inventory, right? We're starting to pick up some pace so we'll be prepared for that quarter. On packaging and materials, we need that to happen, right? And our vendors are getting better. And the commitments, I mean, I have literally monthly calls with some of my peers, the CEOs in our biggest vendors. And we're starting to see that progress pick up. So that's all aligned in our guidance. We don't think it will be perfect, but we do think it's going to get dramatically better.
Bill Chappell: And then on input costs, I mean, certainly, there's been some relief in the market over the past month or 2. Should I look at that -- I imagine especially some of your seasonal items and with the packing and what have you, a lot of your costs, you're probably locked in for the remainder of the year. And so is that fair? Or could you see any relief this year? Or is that more next year? And again, I understand the overall cost basket is still higher, I'm just talking more about actual inputs.
Steve Oakland: Yes. Maybe I'll touch on it, and Pat can follow up. I think as we get later in the year, obviously, we have the mechanics to understand what our pricing and our costs are going to be for the fourth quarter, right? And so I think we have good visibility to that. You're right, we have to own that stuff, and we have to have it in production to get that ready. So most of that impact, I think, will happen later in the year. There may be a tiny bit of it in the fourth quarter, but we do have to own it. But what I like is we don't have to go out and announce more pricing. That's all done. It's all in process. And we have pretty good visibility to what we're pricing against from a cost standpoint. I'm sure there'll be some little nonhedgeable stuff that hits us, but we have that in our forecast. Pat?
Pat O’Donnell: Yes, I agree with Steve.
Operator: Your next question is from the line of Chris Growe with Stifel. Please go ahead.
Chris Growe: I had a question for you. I've just been curious of this. We're seeing, obviously, very strong pricing coming through from your business. We're seeing less robust pricing in private label at retail. I'm just curious of your experience you're seeing from retailers. I guess they're holding maybe some pricing back. And maybe what benefit that's offered to volume in the short term.
Steve Oakland: I would say that we have seen it all over the board. We operate in so many categories. We've seen some places where the retailer has actually been ahead of us and some places where they've been behind us. I think the gaps, as we spoke to in the prepared remarks, are solid, which tells me we have a little bit more room and the retailer has a little bit more room to move. They are concerned about their image with their consumer, right? They're trying to give value offerings with their consumer. And so that's why I feel so good about not just the fourth quarter, but as we roll into next year. I think the retailer really wants that value perception. Private label will be a big part of that. We won't be the only thing in it, but will be a big part of that. So I think they're going to do their best to keep their pricing sharp. But again, Chris, I would say it's all over the map in our category, some were ahead of us and some were behind us.
Chris Growe: I was curious as well about PNOC being virtually flat in the quarter. So when I look at a weaker EBITDA margin, is that -- is that the supply chain and labor disruptions that are weighing on the margin? There should be, I guess, some weight, if you will, mathematically on the margin from pricing. But with PNOC being flat, I was surprised the margin was still down year-over-year.
Pat O’Donnell: Yes. Chris, this is Pat. I think you're right. I think we continue to see some level of disruption as we continue to operate both on the material and the labor. And so I think you're seeing some of that flow through. We did see additional inflation in 2Q. That will impact us in Q3 as we continue to move forward. So I wouldn't look at that bridge and try to duplicate it for Q3.
Steve Oakland: I do think Slide 9 shows that pretty well. I think that's what you're referencing. It shows you how tough the operating environment is, and that's why I think we feel so good that if we'd start to make progress there, which we're seeing, that's the key to the margins returning.
Operator: Your next question is from the line of Robert Moskow with Credit Suisse. Please go ahead.
Robert Moskow: Steve and Pat, a follow-up on the PNOC question. It seems to have leveled off in 2Q. Is that signaling that you have now caught up to your inflation? I know you're saying that there's extra cost. But the objective of the pricing, I guess, is to get to level. So I guess then the follow-up there is, edible oil prices on the commodity markets are down. I think durum wheat is down too. Why are your costs going up in relation to that? And then I have a follow-up.
Steve Oakland: Maybe I'll touch on it and Pat can follow up. I think there is more cost ahead of us. As you know, what we own isn't always aligned exactly where the commodity markets you would see are. There's a hedge position in there. So we feel really good to get it within $1 million for the quarter. We think that's quite an accomplishment. The pricing that's coming is by far the smallest piece of price we've taken to date, okay? So to your point, there isn't a lot more needed. We do need to get our supply chain correct. And I think we had a question earlier, we have to build a lot of that inventory, Rob. And so, yes, there are mechanisms to get a little bit of savings. But can we help the customer a little bit, maybe. But most of that's going to come in next year, the lower priced product or lower cost raw materials.
Robert Moskow: And what should we expect for PNOC in fourth quarter? Like will your pricing be well above inflation? Because I'm having trouble figuring out any other way that you could get to your margin target other than price well above.
Pat O’Donnell: Yes, Rob, that's right. I mean as we've talked about in the past, we have to demonstrate to our customers a level of cost in order to go justify that pricing. And so we've done that and we'll continue to do that. And so as we catch up in Q4 relative to commodities that we've bought, that's what we would expect to see.
Steve Oakland: Yes. We'll expect it to turn positive. But again, we look at it on a broader basis to net. But for the fourth quarter, we expect that number to be positive.
Operator: Your next question is from the line of Jon Andersen with William Blair. Please go ahead.
Jon Andersen: Bigger picture question just on the acceleration in private label demand that you're seeing. In the past, what have you seen in terms of the duration of these kind of step-ups in consumer demand? Are they -- is this something we can really view as sustainable for the foreseeable future? Does it kind of come and go quickly? Just trying to understand a little bit more about kind of the strength that we're seeing here and how we should think about that persisting as we look forward.
Steve Oakland: Sure. Sure, Jon. I think -- it's hard to say this, but I think the last real economic recession we had was 2008, 2009. But if you go back in the data, you'll see each one of those recessions, there was a step change in private label share market, right? And what gives me some real good feelings about this is, and I mentioned this in the scripted comments again, is if you think of how different the -- both the assortment and the quality of private label is today and the retailer landscape, right? The retailer landscape. I mean there are, what, over 1,000 new hard discount European retailers that are focused on private label in North America that didn't exist in 2008, right? Our largest customers have both -- have cut their assortment to natural and organic to national brand equivalent and to value. So the biggest mainstream retailers have multiple assortment. You've got the mass retailers launching big private label brands against it. So I think the quality and assortment is dramatically different than what the consumer saw in past recessions. And so none of us can forecast how long this will last. Will it be a soft landing, how deep it will be. All of those questions that everybody asks every day. But I think we're going to do better. And so what it has shown in the past is you get a bunch of trial you wouldn't have ordinarily gotten and that trial tends to be sticky to a certain percent. With the way we're positioned today, I would think that will be better. It certainly has to be another step change. The question is, how big?
Jon Andersen: I wanted to ask on the cash flow front. You tend to generate the majority of your cash in the second half of the year. And I'm wondering how you're thinking of if that will happen again this year, whether you have kind of a range that you could talk about for free cash for the year and capital allocation going forward, how you expect to allocate that and what your priorities are.
Pat O’Donnell: We didn't guide cash flow this year, but I think directionally, your statement is right, as you think about cash generation being highest in Q4 as we move through the back half of the year and we have our seasonal peak. As we think about kind of capital allocation, I think it's going to be consistent with how we thought about this before as we continue to strengthen our balance sheet, think about leveraging our debt or deleveraging our debt and then moving forward. So our priorities are not different from a cash flow perspective than what we've communicated previously.
Steve Oakland: Right. And we still feel really good about our cash flow even though inventory is going to be a little more expensive, as you know. I don't think the supply chain is going to let us build too much of it. So we're hoping to set the thing right on a pin for enough inventory for the first quarter.
Operator: The last question today comes from the line of Carla Casella with JPMorgan. Please go ahead.
Michael Coppola: This is Mike on for Carla. We just wanted to ask about the M&A environment. I know you guys won't comment on the potential divestments or -- it's going to be a portion of the Meal Prep business that you're looking at divesting. But anything you're seeing on the Snacking & Bev side? And then sort of as a follow-up to the last question, just given your good liquidity, would you guys consider calling the bonds?
Steve Oakland: I think -- well, first of all, I'll jump back to you. I think 4% bonds in the current high-yield market are quite a lever for us. I mean we -- as you know, we have, I think, 6 more years on those. So that looks really, really attractive today. So we're proud of those, we'll hang on to them. But with regard to M&A, there's some small stuff out there, I think. Quite frankly, with the leverage loan market so tight, I think most of the sponsor-led stuff is on pause. But we think there'll be stuff coming forward here as it starts to open up and normalize, right? Yes. Okay. I think that's our last question. And I would just like to thank you all for being with us today, and we look forward to the opportunity to see you in person soon. Take care. Have a great day.
Operator: This concludes today's conference call. You may now disconnect.